Operator: Welcome to the MBIA Inc. Second Quarter 2016 Financial Results Conference Call. I would now like to turn the call over to Greg Diamond, Managing Director of Investor and Media Relations at MBIA. Please go ahead.
Greg Diamond: Thank you, Crystal. Welcome to MBIA’s conference call for our second quarter of 2016 financial results. After the market closed yesterday, we issued and posted several items on our websites, including our financial results press release, 10-Q, quarterly operating supplements and statutory financial statements for MBIA Insurance Corporation and National Public Finance Guarantee Corporation. We also posted updates to the listings of our insurance portfolios. Regarding today’s call, please note that anything said on the call is qualified by the information provided in the company’s 10-K, 10-Qs and other SEC filings as our company’s definitive disclosures are incorporated in those documents. We urge investors to read our 10-K and our 2016 10-Qs as they contain our most current disclosures about the company and its financial and operating results. The 10-K and 10-Qs also contain information that may not be addressed on today’s call. Regarding the non-GAAP terms included in our remarks today, the definitions and reconciliations of those terms may be found in our 10-K and 10-Q, our financial results press release and our quarterly operating supplements. A recorded replay of today’s call will become available approximately 2 hours after the end of the call and the information for accessing it was included in yesterday’s financial results press release. And now, here is our Safe Harbor disclosure statement. Our remarks on today’s conference call may contain forward-looking statements. Important factors such as general market conditions and the competitive environment could cause our actual results to differ materially from the projected results referenced in our forward-looking statements. Risk factors are detailed in our 10-K and 10-Qs which are available on the website at mbia.com. The company cautions not to place undue reliance on any such forward-looking statements. The company also undertakes no obligation to publicly correct or update any forward-looking statement if it later becomes aware that such statement is no longer accurate. For our call today, Jay Brown, Anthony McKiernan and Bill Fallon will provide some introductory comments then a question-and-answer session will follow. Now, here is Jay.
Jay Brown: Good morning, everyone. Thank you for taking the time to join us this morning. Since our last conference call, we have continued to make steady progress in several fronts. While the timing and outcome for the resolution of our Puerto Rico exposures remains uncertain, the results generated from our new business efforts continued to reflect steady, albeit modest progress. We remained very confident about our business model and our ability to deliver increased value to our shareholders over the coming quarters and beyond. We continue to believe that the concern about Puerto Rico is the biggest factor influencing our stock price and that the market has overstated the likely long-term economic impact of Puerto Rico outcomes for both National and the holding company. As we disclosed in July, National paid its first insurance claims on certain Puerto Rico bonds that it insures and it now appears likely that we will pay more claims on our Puerto Rico bonds in the future, while the PROMESA board sorts out the island’s long-term debt strategy with its many constituents. But importantly, our overall expectations regarding the resolution of our Puerto Rico exposures have not changed materially this quarter. We continue to believe that our ultimate losses will be relatively modest and that we are well situated for receiving meaningful recoveries on our paid claims. On a positive note, PREPA’s restructuring continues to progress towards the year end or thereabouts conclusion. However, we expect that we will take longer to address and resolve our other Puerto Rico exposures. After Anthony covers our financial results, Bill will address our Puerto Rico credits in greater detail. Before turning it over to Anthony to go through financial results in detail, I would like to highlight the fact that Adjusted Book Value, or ABV, increased by $0.68 per share during the second quarter and by $2.73 in the first half of 2016. Most, but not all of the improvement in ABV per share has resulted from our share repurchases, which continued to be executed on an opportunistic basis, where we carefully take into account the holding company’s current and forecasted liquidity positions. I should also note that the holding company’s liquidity position is evaluated under several modeled stress scenarios. Turning briefly to MBIA Insurance Corp., our objectives remain unchanged, to maximize the margin of safety towards policyholders and to maximize the long-term returns for its surplus note holders. The MBIA Corp.’s statutory losses and loss adjustment expenses were $60 million for the second quarter, but its claims paying resources of $2.2 billion remained well above our insurance loss expectations for the MBIA Corp. insured portfolio. That said, as we have noted before, we are working on ways to ensure that MBIA Corp. has sufficient liquidity to satisfy the timing of payments that come due on its insurance obligations. We continued to pursue the sale of MBIA UK and are engaged in conversations with key MBIA Corp.’s stakeholders. We expect to announce and close a MBIA UK transaction by year end. However, we have no new specific developments to report at this time and we will not be providing any further updates in our comments this morning. Now, Anthony will provide details on our financials and then Bill will provide an update on National’s activities.
Bill Fallon: Thanks, Jay and good morning, everyone. Combined operating income, a primary non-GAAP metric of short-term performance in the second quarter of 2016 was $15 million or $0.12 per diluted share compared to $19 million or $0.11 per diluted share for the second quarter of 2015. The decrease is primarily due to lower net premiums earned as we experienced less refundings this quarter as well as lower scheduled premiums. The company’s share repurchases drove the increase in combined operating income per diluted share. Our focus remains on ensuring adequate liquidity at the holding company and redeploying some of National’s ample excess capacity after there is reduced uncertainty regarding the outcomes for our Puerto Rico exposures. On a GAAP basis, consolidated net loss was $27 million, $0.20 per diluted share for the second quarter of 2016 versus net income of $64 million or $0.36 per diluted share for the second quarter of 2015. I would like to spend a minute on the activity that drove the quarter-to-quarter decrease. Similar to our operating income, the adverse comparison was due in part to lower premium earnings, but different from operating income to a much greater extent results were driven by fair value effects and an increase in loss and LAE expense. The quarter-to-quarter comparable impact of certain fair value items was approximately a negative $164 million, which was primarily due to three items, lower interest rates, which impacted our fixed pay swaps, related to MBIA Inc.’s GIC obligations; lower MTM gains on MBIA Inc.’s medium-term notes; and mark-to-market losses on MBIA Corp.’s insured credit derivatives as MBIA Corp.’s CDS spreads tightened this quarter, which increased our mark-to-market liability. Partially offsetting these items was a positive impact from FX gains on the MBIA GFL MTNs as the dollar strengthened against the euro. These items typically generate quarter-to-quarter earnings volatility depending upon market conditions, but they are not expected to play a meaningful role on the long-term economic results of our company. Higher loss and LAE expenses were driven primarily by first lien RMBS loss reserve increases at MBIA Corp. Book value and adjusted book value per share both increased during the first six months of the year, primarily reflecting the favorable impact of our share repurchases. Book value per share increased from $24.61 to $26.88 and ABV per share, a non-GAAP measure increased from $29.69 to $32.42. Share count decreased from $152 million as of year end 2015 to $136 million as of June 30, 2016. We believe this represents substantial longer term value for our ongoing shareholders. During the second quarter of 2016, the company and its subsidiaries purchased $1.7 million of its common shares. The average buyback price was $7.02 per share. There was approximately $88 million remaining under the company’s $100 million share repurchase authorization, which was approved during Q1 2016. We will continue to repurchase shares on an opportunistic basis and subject to MBIA Inc.’s current and forecast liquidity position. Now, I would like to take a few moments to walk through the highlights in the reporting segments. National’s operating income was $34 million compared to $40 million in 2015’s Q2. The drivers of the reduced income were lower earned premiums as they were lower refunded earned premiums and National’s insurance portfolio continues to decrease. National’s GAAP net income was $50 million for Q2 2016 versus $37 million the second quarter of 2015 due primarily to realized gains related to the sale of investments. Loss on LAE of $9 million for Q2 2016 was largely unchanged from the prior comparable quarter. National’s capital adequacy and liquidity positions continued to be robust. The balance sheet is anchored by National’s $4.4 billion investment portfolio, which is primarily comprised of highly rated marketable assets. Statutory capital and claims paying resources continue to strengthen totaling $3.5 billion and $4.7 billion respectively as of June 30, 2016. Moving briefly to the corporate segment, this segment had a second quarter 2016 operating loss of $19 million versus an operating loss of $21 million for Q2 2015. Key metrics were essentially unchanged for this segment. As of June 30, 2016, MBIA Inc. held cash and liquid assets of $295 million, which excludes its tax escrow account balance of $273 million at quarter end as well as approximately $800 million in assets pledged to the GICs and interest rate swaps. Turning to MBIA Corp. and its statutory results, Corp. had statutory capital of $755 million as of the end of the second quarter compared to $885 million as of year end 2015. The decrease from year end was primarily due to increased loss and LAE expense. For the second quarter, Corp.’s statutory net loss was $49 million compared with a net loss of $47 million in the second quarter of 2015. The net loss for the second quarter of 2016 was primarily due to increased loss expectations in first lien and second lien RMBS. Increased severities drove our first lien RMBS losses for both our U.S. and Mexico portfolios and voluntary prepayments in our second lien RMBS portfolio remain elevated, which reduced our excess spread loss recoveries. MBIA Corp.’s liquid assets totaled $288 million as of Q2 2016, up from $264 million as of the end of the year. Claims paying resources were $2.2 billion as of June 30, 2016. As we have stated grievously, MBIA Corp. is focused on managing its resources to enable it to pay claim payments when due to its policyholders. The $772 million Zohar II maturity on January 20, 2017 is the biggest challenge facing MBIA Corp. vis-à-vis its current liquidity position. And as Jay mentioned, we are pursuing strategies intended to address that challenge even though there is no assurance that we will be able to raise sufficient liquidity and restructure the Zohar II notes by the maturity date. As we move forward, we continue to work towards creating shareholder value through the strategic repurchasing of our shares when optimal and increasing National’s market presence in the bond insurance market. We are also working to resolve our Puerto Rico exposures, which we believe will both have a positive impact on National’s ratings and subject to regulatory approval provide the ability for National to pay special dividends to the holding company. And now, I will turn it over to Bill who will provide an update on National.
Bill Fallon: Thanks, Anthony. Good morning, everyone. It continues to be an interesting time for National. During the quarter, Puerto Rico generated lots of headlines. National continued growing new business production and its financial position strengthened. During the quarter, the PROMESA legislation became law. The 7-member oversight Board should be in place by September 15. We expect to work with the board, the Commonwealth and other creditors to address Puerto Rico’s challenges, while aggressively pursuing repayment of National’s insured debt. In July, we paid $173 million of insurance claims on Puerto Rico bonds, of which $169 million was paid for principal and interest that we insured on Puerto Rico’s general obligation or GO bonds. The other $4 million was for Highway and Transportation, HTA bonds that we insure. Before year end, $2.5 million of payments will come due on National insured Puerto Rico bonds and then the $73 million will come due on January 1, 2017. The claims that we pay for the July 1 debt service amounts were taken into consideration in our June 30 loss reserving assessments and we expect to ultimately recover most, if not all, of the claims that we paid. On the PREPA restructuring that continues to be progress, the parties are working to implement the terms of the restructuring support agreement, which has been extended to December 15 of this year. We continue to believe that the PREPA restructuring could close before the end of the year. In the meanwhile, some of the creditors, including National have purchased newly issued bonds from PREPA to help replenish PREPA’s financial resources. During the second quarter, National purchased $139 million of noninsured PREPA bonds that have maturities ranging from January 2018 to July 2020. Most of it, $95 million matures during 2018. In addition to pursuing the PREPA restructuring, we, as did other creditors, initiated litigation that seeks to have Puerto Rico’s Moratorium Law declared to be unconstitutional under the U.S. Constitution. Outside of Puerto Rico, the other credits to National’s insured portfolio are performing within our expectations. Turning to new business, our production continues to demonstrate steady and sustainable growth. We insured $209 million of gross par during the second quarter, up from $158 million of gross par in the first quarter of this year. For the six months of 2016, we have insured $367 million of gross par versus $311 million for the first six months of last year. But more importantly, the number of deals that we have insured has increased even more. We insured 59 deals for the first six months of 2016 versus 14 deals for the first six months of last year. We are steadily expanding the number of clients and intermediaries looking to transact with National. The bond insurance industry penetration for the first half of 2016 was 5.7% of total municipal issuance compared to 6.3% for the first half of 2015. Of the insurable market, that is new issue municipal bonds with BBB to A ratings, the insured penetration was 14%, which was down slightly from the first half of 2015 penetration of 15%. Low interest rates have been a challenge for the industry. We continue to believe that our industry will experience growth over the coming years in large part due to the value that bond insurance provides to issuers and the market as demonstrated with respect to the Puerto Rico insured bonds as well as other recent examples of municipal defaults and bankruptcies. And National is well positioned to participate in that growth. From a financial perspective, National reported $34 million of operating income for the quarter and it ended the quarter with $3.5 billion of statutory capital and $4.7 billion of claims paying resources. As National’s insured portfolio continues to amortize, its capital position and its capital ratio continue to improve. During the second quarter of 2016, National’s insured portfolio reduced by $12 billion of gross par and recorded $138 billion of gross par outstanding. National ended the quarter with a leverage ratio gross par divided by stack capital of 40 to 1, down from 48 to 1 at year end 2015. During the second quarter Kroll, Moody’s and S&P all reaffirmed their credit ratings and outlooks for National. Under S&P stress tests, which was last assessed based on our year end 2015 insured portfolio and financial conditions, we estimated that National had approximately $1.5 billion of excess capital. Given the further delivering of National’s insured portfolio and it’s positive financial results over the first six months of this year, that amount of excess capital has grown. As mentioned on previous calls, we plan to seek approval for National to pay a special dividend when there is less uncertainty regarding our insured Puerto Rico exposures. In the meanwhile, we expect National to be able to pay as of right dividend of approximately $115 million during the fourth quarter of this year. Now, we will open up the call for your questions.
Operator: [Operator Instructions] Your first question comes from the line of Chas Tyson with KBW.
Chas Tyson: Hi guys, good morning. I just want to follow-up on the special dividend, the interplay there obviously between the uncertainty in Puerto Rico and going to the regular questioning, I mean one, what are you – do you think that could potentially be a 2016 event and what do you need to see out of Puerto Rico before you feel more comfortable making the request?
Bill Fallon: Yes. Chas, as you know, we are following Puerto Rico quite carefully. I think one of the things we are looking for is the continued implementation of the PREPA restructuring, which as I indicated, we would hope that that closes this year. So I think that’s one key thing to focus on. Second would be when the Oversight Board under PROMESA is put in place and how they set up to start looking at the financial situation in Puerto Rico. So I think as we head towards the fourth quarter, we will have a whole lot more information on that front.
Chas Tyson: Okay. And on the PREPA restructuring, one do you think – does that the base rate changed, that need to be permanent before you can get the securitization complete, because I think you noted in the Q that you wouldn’t expect that until next year and do you think that, that securitization will obtain an investment grade rating, because there have been some rumors in the process as well as some creditors that may not obtain an investment grade rating?
Jay Brown: Yes. So two things, in terms of the special purpose vehicle, that’s part and parcel of the restructuring agreement. So again we are hoping that all comes together before the end of the year. With regard to the investment grade rating, which you referred to PREPA will start working with the rating agencies. We would expect that process to start soon, perhaps next month. There was talk that there were expecting investment grade rating and as you had mentioned, there is some thought now that perhaps initially it would not be an investment grade rating. The deal can be done even if it doesn’t have an investment grade rating, but again PREPA has indicated they would aspire to have an investment grade rating.
Chas Tyson: Okay. And then last one for me, I am not sure if you gave that GAAP book value of MBIA UK, but if you have that, that will be helpful. And then can you – would you guys rule out MBIA Inc. or National purchasing MBIA UK, are they potential bidders?
Jay Brown: With regard to the sale of the UK, other than the comments we have already made, because of the confidential nature of those negotiations, we are not going to comment further at this point in time.
Chas Tyson: Okay. Do you have the GAAP book value or no…?
Anthony McKiernan: The GAAP book value is approximately $500 million.
Chas Tyson: Okay, thank you.
Operator: Your next question comes from the line of Andrew Gadlin with Odeon Capital Group.
Andrew Gadlin: Hi, good morning. Thank you for taking my question. Just want to follow-up on the last question about MBIA UK it sounds like that GAAP book value for UK actually increased in the quarter?
Anthony McKiernan: The UK continues to be profitable, so essentially it’s just increasing by the profitability of the company.
Andrew Gadlin: Interesting. I mean for stat basis, you actually brought down the admitted even the non-admitted valuation decline by $20 million, admitted assets decreased by $40 million, what droves – drives that discrepancy?
Anthony McKiernan: The 1408 penalty, the higher percentage the UK becomes a Corp. than more of a penalty we are taking essentially.
Andrew Gadlin: Got it. So it’s a bigger benefit from the sale?
Anthony McKiernan: It’s a bigger benefit value of the asset versus the total assets of Corp.
Andrew Gadlin: Got it. And then the derivatives at holdco which are now tying up $311 million of cash, can you talk about those, what those are tied to and why that amount is increasing?
Anthony McKiernan: We have got swaps that are part of our legacy ALM business. The reason why the derivative liability increased was because interest rates continued to decline over the quarter, which increased our mark to market liability.
Andrew Gadlin: Okay, great. And then last question, on the PREPA bonds that were purchased at National, I think you said it was $139 million, can you talk about how you are marking those, are you marking those to par, are you marking those to a discount, obviously they are not very liquid instruments?
Anthony McKiernan: We go through a process of they are marked to fair value and given the short maturity of those, to your point, they are not things that are trading in the marketplace. So we think, at quarter end, they were very close to the value – excuse me the price that we paid for them.
Andrew Gadlin: Got it. And then your – in an answer to the previous question you said that you would be thinking about the special dividend as Puerto Rico progresses through the year and I am just trying to think there are additional claims coming in January, I know it’s difficult to put yourselves in the shoes of the rating agencies, but when you think about the concentration in National of the investment portfolio between your own wrapped COFINA bonds and these PREPA bonds and deducting cash flow you paid out, how do you think – how can you help us think about the amount that a dividend could be or the flexibility that you would have given those concentration levels?
Jay Brown: I think the thing to keep in mind is, as I mentioned the rating agencies all come out and confirm their ratings. In particular, S&P has done a separate piece with regard to the insurance industry that is the bond insurance industry. And the exposures that people have in Puerto Rico. And even after stressing the Puerto Rico exposures, they still believe that we have in excess of the AAA capital levels. So again we think from a capital and financial strength position, National is very well positioned.
Andrew Gadlin: Okay. Thank you very much.
Operator: Your next question comes from the line of Brett Gibson with JPMorgan.
Brett Gibson: Great. Thank you for taking the question. With liquidity issues mounting in Corp. in advance of a possible Zohar payment, can you update us on your philosophy on National providing support to Corp. and I am not just talking about a possible sale of UK to Corp. but whether it’s their lending or any other form of support?
Jay Brown: Yes. With regards to that, I think I have been clear in the past, unless you can tell me how that would benefit National, we won’t do it.
Brett Gibson: Okay. I mean I guess I would say not sending Corp. into receivership could be a benefit to National’s ongoing interest in writing business, but I mean is that something that you would rule out, support for lending in any form?
Jay Brown: We are not going to comment any further on that.
Brett Gibson: Okay, great. Thanks. Moving on, can your update us related to the Corp. on the status of regulator discussions regarding a possible regulatory action receivership or of some sort – or stop payment, what timeline should we expect before we get the decision or any kind of update?
Bill Fallon: Related to the regulator, we are in constant contact with the regulator. We are updating them on all the initiatives that we have talked about for the last quarter or so related to raising liquidity and restructuring efforts on Zohar for MBIA Corp. So again, we have a full transparent line of communication. We are continuing to work down the avenues that we have discussed. And again, as long as we keep moving down that path, we hope to achieve what we are going for by the time the Zohar maturity occurs.
Brett Gibson: Okay. Thank you. And then you have also talked about looking at possible restructuring or mature which is related to Zohar, possible restructuring of the maturity or reducing the outstanding principal, can you help us understand what are the mechanics out of getting that through, what level of consent do you need from holders or any other details that can help us out in understanding that?
Jay Brown: We will not go into details and I would just tell you we have identified everything we need to do to accomplish the goals that we have in front of us.
Brett Gibson: Great. And my final question and maybe you can answer, but this relates to UK, last quarter you said there were multiple interested parties, can you just update on us if that’s still the case? And thank you.
Jay Brown: Yes. As I have said, we are in discussions and negotiations and beyond that, because of the confidential nature, we can’t comment any further at this time.
Brett Gibson: Okay, fair enough. Thank you, gentlemen.
Operator: Your next question comes from the line of Peter Troisi with Barclays.
Peter Troisi: Hi, Good morning guys. You mentioned earlier in the script that you are engaged in conversations with key MBIA Corp. stakeholders, is there anything more you can say about that?
Jay Brown: No.
Peter Troisi: I mean was that comment specific to UK or can we think about it more broadly?
Jay Brown: You can think about it more broadly.
Peter Troisi: Okay, great. Thank you.
Operator: Your next question comes from the line of [indiscernible] with Banco Finantia.
Unidentified Analyst: Hi. Thank you for taking my question. Is there any update regarding the recovery rate of Zohar, one, because I further remember from the last call there wasn’t any. And my second question is, if the sale of MBIA UK fails, do you consider the sale of the investment portfolio to try to make for the Zohar payment, Zohar II payment in January or is that out of the question? Thank you.
Jay Brown: Actually, the first half of your question, we continue to pursue Zohar though we believe given the senior position we have in that transaction we expect a solid recovery there, but that’s all I can comment on with that at this point.
Bill Fallon: In regard to the second one, the sales in UK, again as we have commented, we are in negotiations right now. I think your question is if for some reason that didn’t proceed, could we sell the UK investment portfolio, because UK is the separate legal structure and is regulated by the PRA. We couldn’t use the portfolio you would have to get distributions out of the UK. And just given the nature of the insured portfolio as we have said previously the way to monetize that is to sell it that would be the most effective way to do so.
Unidentified Analyst: I was thinking specifically about the MBIA Corp. U.S. operation portfolio, which you had mentioned $400 million or something in fixed income assets, which I think includes already the...?
Jay Brown: MBIA Corp.’s liquid assets about $288 million, the other assets and investments in subsidiaries I mean also tied to our portfolio. So there wouldn’t be a large sale from the MBIA Corp. portfolio to satisfy the Zohar payment.
Unidentified Analyst: Okay. Thank you.
Operator: Your next question comes from the line of Ed Groshans with Height Securities.
Ed Groshans: Good morning and thank you for taking my questions. First, do you have plans to re-up the share repurchase authority?
Anthony McKiernan: We currently have another $88 million outstanding, until that’s used up, we will not go back to the Board and consider additional repurchases.
Ed Groshans: Okay. And is there any consideration of the special dividend and timing of that relative to future authorizations or would – are they separate discussions?
Jay Brown: They are obviously intertwined in terms of having sufficient liquidity. If we were successful in getting the special dividend, it would obviously significantly altar the modeled and stressed portfolio for MBIA Inc. and that would allow us to purchase additional shares. So yes, they are linked.
Ed Groshans: Okay. And then just a couple of reporting items, you have the schedule of exposures and in the Puerto Rico exposure, it appears that you broke out PDA, or public building authority exposures as well as 98 subordinated transportation bonds, I guess, can you just talk about the thinking as to why to parse those out at this point in time?
Bill Fallon: We are just making sure we provide details at any investor or anybody who is interested would like to have the information. This is, I think, in particular about those exposures as you said, they are not necessarily the largest exposures that we have in Puerto Rico.
Ed Groshans: No, no, that’s correct. Also, it does appear that at least what I am looking at GOs now with the breakout of GO separate from public building authority that those exposures did go up quarter-over-quarter about $40 million, can you sort of address that?
Bill Fallon: On the GOs, if there is a small increase, I believe there is some capital appreciation bonds that you are referring to that have gone up slightly.
Ed Groshans: Okay, and that’s resulted in the change. Okay, very much, thank you so much. Have a good day.
Bill Fallon: Thank you.
Operator: [Operator Instructions] And your next question comes from the line of Adam Sklar with Monarch.
Adam Sklar: Hi, thank you for taking my question. Can you talk a little bit about your Highway 98 exposure and how we should think about that relative to your loss in LA reserves of $58 million in National? The market trades those bonds on an unwrapped basis in the ‘20s or ‘30s implying very low recovery rates there. And so the passage for me, so it seems like that end these very vulnerable to taking substantial losses. And second part of my question would be how should we think about the loss in LA reserves at National relative to not only the Highway exposure, but also the fact that you have already paid out $173 million on your GO exposure alone?
Jay Brown: Okay. With regard to the first, on the Highway, as you know that we have two different intentions, we have the 98 and we have the 68. There are a lot of things going on. To your point, there is a lot of uncertainty exactly how we will get restructured. The Governor is taking certain actions would have now been challenged in Court. He has called back different revenues. He has also moved collateral effectively under the guys of the Moratorium Act. So, I think there is a lot of things there that will play out over time with regard to litigation as well as the restructuring of HTA. With regard to the market prices, we go through a process, as you know, under GAAP with regard to how we come up with the loss reserves and that may or may not be the same, but there is nothing from market prices that informs what the reserves should be with regard to any of that.
Adam Sklar: Stepping away from GAAP for a second just from your business understanding, with $4.5 billion of TV exposure, $10 billion of future value exposure holding $58 million of reserves would imply that the best use of your cash in your balance sheet would be to go and buy Puerto Rico bonds, there is a huge delta between the market level and where you are reserving is. And so I guess from a business perspective, living and breathing the situation in Puerto Rico, can you just discuss how you are expecting it to play out and where you are most concerned about losses where you expect to take losses and what the quantum of those losses will be?
Jay Brown: Yes. As you know, we don’t comment on any specific credit in the loss reserves associated with it. As you know, we are quite familiar with everything you said. Again, keep in mind, there is a difference between the price of uninsured versus insured bonds. So, when we ever think about buying bonds, we are talking about buying the insured bonds which obviously trade at a different value than what you are talking about. I think we are the first to acknowledge the Highway situation as uncertain. It remains to be seen when the Oversight Board gets put in place, how they choose to deal with it? But I think it is one where there is clearly going to be a volatility in the near future. So, I don’t think our view is any different than what you are suggesting.
Adam Sklar: Thank you.
Jay Brown: So, did you have another question, Adam?
Operator: At this time, there are no further questions in queue. I will now turn the conference back to Mr. Diamond.
Greg Diamond: Thank you, Crystal and thank you to all of you who joined the call today. Please contact me directly if you have additional questions. We also recommend that you visit our website at mbia.com for additional information. Thank you for your interest at MBIA. Good day and goodbye.
Operator: This concludes today’s conference call. You may now disconnect.